Gerald Cysewski: Aloha from Kona, Hawaii. Thank you all for joining us today to report Cyanotech's First Quarter Fiscal Year 2022 Earnings Results. I am Gerry Cysewski, Chief Executive Officer of Cyanotech. Joining me on the call today is Felicia Ladin, our Chief Financial Officer. 
 I will turn the call over to Felicia to provide our forward-looking statement. Felicia? 
Felicia Ladin: Thanks, Gerry. 
 Our discussion today may include forward-looking statements. We do not undertake any obligation to update forward-looking statements either as a result of new information, future events or otherwise. Our actual results may differ materially from what is described in these forward-looking statements. 
 Some of the factors that may cause results to differ are listed in our publicly filed documents. For additional information, we encourage you to review our 10-Q and fiscal year 2021 10-K report filed with the Securities and Exchange Commission. 
 I will turn it back to Gerry for comments on the quarter. Gerry? 
Gerald Cysewski: The company started off the fiscal year with strong sales and an improved gross profit due to the timing of product availability from our third-party partners, shipments were higher in the last month of the quarter, resulting in higher accounts receivable and lower cash. Stable growth conditions in the quarter resulted in cultivation and production results above trend. 
 At the beginning of the quarter, the company refinanced its related party loan with Skywords Family Foundation. The refinancing converted $500,000 of the outstanding principal amount to a revolver, extended the maturity date by 3 years to April 12, 2024, adjusted the interest rate to reflect a floor of 5% and secured Skywords' interest subordinate to our principal lender, First Foundation Bank. As part of the refinancing, the company repaid $500,000 of principal plus accrued interest to date of $1,900. 
 Turning over to Felicia to discuss the financial results. Felicia? 
Felicia Ladin: Thank you, Gerry, and good evening, everyone. 
 Key financial results for the quarter. Total sales for the first quarter of fiscal 2022 were $9 million compared to $7.4 million for the first quarter of fiscal 2021. Total sales revenue increased by $1.6 million or 22% from the prior year. Nutrex sales increased by $1.7 million or 34% due to the company's transition from selling direct to a large customer to utilizing an integrated third-party logistics and marketing provider with a data science-driven platform. This was offset by lower sales of contract services of $125,000 or 39%. Bulk sales were relatively flat year-over-year. 
 Gross profit for the first quarter of fiscal 2022 was $3.7 million with a gross profit margin of 41% compared to gross profit of $3 million and gross profit margin of 40.5% in the first quarter of fiscal 2021, a 0.5 percentage point increase. 
 Operating income for the first quarter was $619,000 compared to operating income of $268,000 in the first quarter of fiscal 2021, an increase of $351,000. 
 Net income for the current quarter was $520,000 or $0.08 per diluted share compared to net income of $138,000 or $0.02 per diluted share in the prior year. 
 The company had cash of $1.1 million and working capital of $9.9 million as compared to $3.8 million and $9.3 million, respectively, as of March 31, 2021. 
 I will hand the call back to Gerry for concluding comments. Gerry? 
Gerald Cysewski: We have not had any questions. Thank you for attending the call. Please stay safe and healthy. Aloha.